Operator: Good morning, ladies and gentlemen, and welcome to Champion's Third Quarter Results of the Financial Year 2026 Conference Call. [Operator Instructions] I would now like to turn the conference call over to Michael Marcotte. Please go ahead.
Michael Marcotte: Thank you, operator, and thank you, everyone, for joining us here to discuss our third quarter results. Before we get going, I'd like to highlight, we'll be using a presentation that's available on our website at championiron.com. I'd like to highlight that throughout this call, we'll be making forward-looking statements. If you want to read more about forward-looking statements, risks and assumptions, you can also visit our MD&A, which is also available on our website. Joining me here today includes many of our executives, including David Cataford, our CEO, who will be doing the formal portion of the presentation; and our COO, Alexandre Belleau. With that, I'll turn it over to David.
David Cataford: Thanks, Michael. Thanks, everyone, for being on the call today. I'm very happy to be able to present the fiscal year 2026 third quarter results. In terms of the highlights, so we managed to produce roughly about 3.7 million tonnes during the quarter and sold just shy of 3.9 million tonnes also during the quarter. One of the big highlights as well is we've continued to improve on our cash costs. So our cash cost delivered in the vessel in Sept-Îles was just below $74 per tonne, which translated in the quarter when you look at the realized price of an EBITDA of $150 million, a little bit less than the previous quarter, but the main difference was essentially the provisional price adjustment. So we managed to have a pretty flat quarter-on-quarter. In terms of community governance and sustainability, continued working with local communities and also with the -- our First Nations partners of Uashat mak Mani-utenam. One of the big highlights is we managed to send roughly about 160 people to the community to do a full immersion to be able to work alongside with the community, again, strengthening our partnership and allowing us to view potentials for growth in the future alongside our partners in Uashat mak Mani-utenam. In terms of operational results, one of the highlights for the quarter is definitely the amount of tonnes that we were able to bring down from the stockpiles at Bloom Lake. A lot of those tonnes are now sitting at the port, but we much prefer having them closer to the vessels at the port than on stockpiles at the Bloom Lake site. So we managed to decrease our stockpile by about 1.1 million tonnes quarter-over-quarter, reducing the stockpile to about 600,000 tonnes at the mine. Our inventories increased at the port to roughly about 900,000 tonnes, and we'll be able to destock that over the next few quarters to be able to fill the vessels [ in this system ]. In terms of our operations, again, as we mentioned, quarterly concentrate production of about 3.7 million tonnes. What's important to note as well is that we continue to operate in a way that keeps the mine very healthy. So when you look at our strip ratio, the amount of tonnes of waste that we've moved during the quarter, again, making sure that ore is available and that we can continue working on our blending strategy to make sure that we can dilute down a portion of the harder iron ore that we've had in one of the small zones that we discovered that we disclosed to the market a few quarters ago. In terms of the industry overview, so a pretty flat quarter when you look at the P65, the freight and the premium for the P65 over the P62. So during the quarter, P65 averaged about $118 per tonne, a slight increase of about 1%. There was a very slight decrease in terms of the premium for the P65 over the P62 and a slight increase in C3 freight cost of about 2% during the quarter. But again, pretty flat in terms of quarter-on-quarter. What does that do on our provisional price adjustments? So when you look at this quarter, very uneventful provisional price adjustment, about USD 3.3 million over the quarter. When we account this over 3.9 million tonnes that were produced, it has an impact of about $0.80 per ton in terms of the tonnes sold. When we look at the tonnes that are still on the water now at the end of the 31st of December, we had about 2.5 million tonnes in transit, and we've expected a price of around USD 117 per tonne. If you look at our average realized selling price, pretty close to the P65 index. As you know, we have some tonnes that are still subject to slight discounts due to the fact that we're selling more on spot and not on long-term contracts. This is the year that we'll be able to start shifting that portion because as we deliver our new plant and we're able to sell 69% iron ore, we will now enter into longer-term contracts. But when you look at this quarter, when we account for the conversion of U.S. to CAD and discount the freight cost, we had a net realized price of about CAD 121 per tonne. In terms of our cash costs, so we've continued working on our cost at site, reducing again our cash cost during the quarter to just below $74 per tonne delivered in the vessel, pretty big decrease, and we're continuing to work on our costs. So as you know, the main factors for us is definitely when we have a good iron ore recovery and we have good production, that definitely reduces the cost per tonne at our site. Mind you, this quarter was a quarter that did not have a major shutdown, but still continuing our downward trend in terms of operating costs. What does that translate in terms of financial highlights? So as we mentioned, revenues of about $470 million, EBITDA of $150 million and a net income of $65 million for the quarter. In terms of our cash, so cash sits at roughly about $245 million on the 31st of December this year. Main impacts were obviously the cash flows from operations, where we invested, we invested mostly on the sustaining CapEx and also the DRPF CapEx, and we also paid out our semiannual dividend during the quarter. There was also a change of working capital, mainly due to receivables that have increased. So that should unwind in the next quarter. In terms of our balance sheet, very well positioned to be able to continue our growth initiatives, about $1.1 billion of cash, cash equivalents and working capital and also including the available liquidities that we have on our various facilities. So very well positioned to be able to finalize our growth initiatives. Talking about our growth initiatives. So if we look at our main project, the DRPF project, so we're coming close to completing the project now and being able to commission the first tonnes, still on target to reach our $500 million investment for the full project. Right now, all the equipment is installed. So it's just finalizing some tie-ins with the equipment, and we're now also starting the commissioning of certain equipment as we speak. So pretty excited about the next steps for this project. We're still on target to be able to deliver our first tonnes of DRPF and our first vessel in the first half of this year. When we look at the impacts of starting the plant, we just need to remind everyone that there are some impacts that will come with the interactions with the Phase 2 project. So there will be some interruptions in the plant as we commission the various equipment. We had forecasted in our feasibility study roughly about 20 days for the Phase 2. We'll try to make up a portion of that for -- in the Phase 1 plants, but there will be some interactions in the coming quarter to be able to fully commission this plant. But once that's done, we do expect a ramp-up of roughly about 12 months to be able to get the plant fully running and minimal impacts on the actual Phase 2 production once the tie-ins are completed. So very exciting because we're now finalizing all of the potential contracts with various clients. We do expect to sell most of those tonnes in markets that we had announced, so either Europe, North Africa or Middle East. So working with our partners to be able to finalize those contracts, and we'll be ready for when these tonnes come into the market in the first half of this year. One of the other highlights that we discussed also just a few days before Christmas was the potential acquisition of Rana Gruber. So we entered into a transaction agreement with Rana Gruber to acquire the company. The transaction is fully financed. So a portion of cash, roughly about USD 39 million. We have La Caisse de dépôt, one of our long-standing partners that is also supporting us for USD 100 million. And we also have a fully underwritten term loan with Scotiabank of USD 150 million that we'll start syndicating down to our bank syndicates. So as my understanding, all of our partners are very happy to support us with this transaction. Again, just to remind everyone why we're doing this transaction. Well, one, Rana Gruber is a robust operation that's operated for over 60 years, uninterrupted in all of the various cycles. They benefit from pretty interesting margins in terms of the material that they produce, and they're also on track to start producing higher-grade material, which is fully aligning with what we do at Bloom Lake. They're also very well positioned versus European clients. This is a client base that we want to increase in the future. And there are just a few days of sailing time from their various clients, making it a producer of choice for a lot of steel mills in Europe. We do think there are opportunities in the future with the asset to be able to potentially increase on the volume side, and we also benefit from an extraordinary team over there, fully aligned in terms of values and operation style. So we do think that this is very positive to be able to combine the 2 -- these 2 assets. In terms of our other projects, so as you know, we're also working on the feasibility study and the permitting of the Kami Project. So that's all going according to plan. We should be in a position by the end of this year to finalize the feasibility study and potentially obtain our construction permit for the project and also fully aligned with our partners, Nippon Steel and Sojitz to be able to continue on the next step. So we'll see once we finalize the feasibility study and the permitting process, where is the market for DR grade type material, and we'll then be able to look at the next steps for the project going forward. We also, just to remind everyone, have over 5 billion tonnes of resources just south of Bloom Lake. So we are doing a little bit of drilling just to make sure that we can refine our estimates in terms of the actual tonnes over there, but all very high-grade material that is -- I think will position us very well in the future. Short term, maybe no impact, but in the medium, long term, could definitely be very beneficial for our company. So with that being said, I'd like to thank all of our staff and everyone for making these results possible. I think, again, a very good quarter. We had a few hiccups last year and definitely had some quarters that were impacted by either forest fires or a bit of breakage on certain equipment at our site. But I think that's behind us, and we're now back in a very good operational position. And I think when you look at the results and the cash costs that are continuing to come down, it's a proven element that we're back on track in terms of operations. So with that being said, I'll turn it over for the Q&A portion of the call.
Operator: [Operator Instructions] Your first question is from Julio Mondragon from BMO Capital Markets.
Julio Mondragon: So I just got a couple of questions. But the first one I would like to ask is, well, you have seen the cost reducing significantly quarter-on-quarter, what are the key drivers of this cost reduction? And also, how sustainable this is in the near term? Like what would be your unit cost target for the next few quarters to understand a little bit more about your cost strategy here.
David Cataford: Well, the cost strategy is always to produce at the lowest cost possible. When you look at the results, well, obviously, this was a quarter that didn't have a major shutdown. So quarter-on-quarter, that was one of the impacts in terms of the cost reduction. When you look at the amount of tonnes that were produced, definitely, when we produce more tonnes, well, we'll always have a lower cost per tonne. So that's definitely one of the elements that has improved. And as we come out of this whole stockpile history portion, well, that's definitely going to reduce our costs as well going forward. So those are the main elements. But our strategy is definitely to continue working on various elements that we can improve our costs. How do we do that? Well, we're improving the mining efficiency, also working on our shutdowns to be able to be more efficient. If we can get that plant up and running a little bit more often, well, that's going to allow us to produce more tonnes, it's going to dilute down a lot of our fixed costs. So those are definitely the strategies that we have shorter term to be able to continue on the trend to have good operating costs.
Julio Mondragon: And if I could ask one more question. So currently, you are targeting commercial production in the first half of this year from the DRPF plan. So does it mean you are going to achieve nameplate capacity in this period? And also because we're talking about premiums, can you provide a quick outlook of the market and the premiums for this product?
David Cataford: Yes. Thanks for the question. So once we get the plant up and running, we believe the ramp-up time is going to be roughly about 12 months to get the full nameplate capacity. So that's the time frame to be able to get the full nameplate capacity. If we can do it quicker, well, we'll definitely come back to the market, but that's what is in our plan right now. In terms of premiums, well, obviously, when you have a new product like ours, at 69%, we need to be able to prove to our various clients that we can hit that number and that it reacts well in their plans. So there's always some trial discounts to the DR grade premiums when you look at the first cargoes. But I think once we are able to demonstrate to our clients that we're hitting consistently the quality, well, then we'll be able to get out of that territory and start benefiting fully from the CR premiums. In the market today, the DR premiums have increased slightly compared to last year. So I do think we're in the right trend. But for us, you have to remember that, one, there's the premium that is interesting, but there's also the freight advantages by selling closer to home. So when you combine those, I do think we're going to have better margins for our material, hence, better returns for our shareholders.
Operator: Your next question is from Orest Wowkodaw from Scotiabank.
Orest Wowkodaw: Two things from my end. First of all, on the ship loader issue at the port of Sept-Îles, how -- is that rectified? Or how long was that down? I'm just wondering when normal shipments would have resumed post year-end?
David Cataford: Yes. Thanks for the question. That was roughly about 4, 5 days. So it wasn't a -- well, I mean, we consider it major, but when you look in the yearly results, it's not necessarily major, just annoying for us because we would have sold probably an extra vessel during the quarter, which would have been nice. But realistically, the operations restarted about 5 days after the breakage. I don't think it's something that is necessarily recurrent, just an issue that happened, but unfortunately, happened right at the end of the quarter.
Orest Wowkodaw: Okay. So should we expect that the 900,000 tons of inventory at the port to basically be cleared out here in the current quarter?
David Cataford: Well, there's always going to be inventory at the port because as you know, vessels are roughly about 200,000 tons. So it's tough for us to clean out the inventory completely. So I'd say probably closer to 2 quarters to be able to get down to a level that is more in the range of having one vessel on the ground. So that's realistically about the time frame that we believe we can get those tonnes down.
Orest Wowkodaw: Okay. And then just changing gears back to the DPRF. Should -- I realize you're not expecting commercial sales, I guess, until sometime in the second calendar quarter. But should we -- like as we're waiting for better visibility on what premiums may look like, should we start to anticipate that like we're going to see some increase in your blended realized price starting as early as Q2 and that ramps over future periods? Or should we just thought -- or is that not realistic?
David Cataford: I think it's probably closer to Q3 where you're going to start seeing some results. Q2, definitely, we're going to have our first tonnes that are produced, first tonnes that are sold. But depending on how the actual integration goes and we're able to start up the plant when we look at the interruptions that we'll have to be able to tie in the actual plants together, I think in Q2, that's not when we're going to start seeing the results. It's more in Q3.
Orest Wowkodaw: Okay. And when you mentioned earlier also the 20 days of tie-in, is that this current calendar quarter? Is that when that's expected?
David Cataford: It's Q1 of fiscal year 2027. So sorry, I think I said on the call this quarter, but in my mind, we're already in April.
Orest Wowkodaw: Okay. okay. So we're talking calendar Q2?
David Cataford: Correct.
Operator: [Operator Instructions] And your next question is from Fedor Shabalin from B. Riley Securities.
Fedor Shabalin: David, so several quarters ago, you mentioned that Bloom Lake output could reach between 17 million and 18 million tons annually once all bottlenecks are resolved. The progress of debottlenecking in the fourth is clearly visible. And my question is, where are we now on the path to achieving this 17 million, 18 million tonne production target at Bloom Lake? And I would assume we're not far away. And what additional steps remain to get there?
David Cataford: Yes. Thanks for the question. When we go back, the main target for us was definitely to make sure that if we do some investments, we'll be able to get those tonnes down. So the main focus was really to be able to work on the rail portion to make sure we can get the tonnes. When we look at the last quarter, we brought down quite a lot of tonnes from site. So that definitely gave us some good visibility. Now we're in a situation where we're back in the very, very cold winter months. It's actually a very cold winter up to now. So there are some elements that impact the rail portion. But when we take all that into account, I do think we're in a territory where we feel more confident that the logistics side will be able to bring down the tonnes. So now most of the work to be able to define what needs to be done to be able to increase the production is pretty well known. So we're going to start working on those projects to be able to look at the debottlenecking. But that was also one of the thought processes when we looked at acquiring a project like Rana Gruber. So initially, we thought those tonnes would come from Bloom Lake. I still think that Bloom Lake will get to the 17 million, 18 million tonnes. But in the interim, we will now have an asset that produces just shy of 2 million tonnes out of Norway, and that's definitely going to help as well in terms of the production increase.
Fedor Shabalin: Yes. That's helpful. And my follow-up question is on DR grade market overall. What does the current landscape look like? And how large is demand now? And do you anticipate any changes to premium above 65% Ferrum from P65 that you outlined previously? And if I recall correctly, it was roughly in the ZIP code of $20 per metric ton. And are there plans to sell a portion of DR pellet feed output to third parties?
David Cataford: Yes. Thanks for the question. So the thought process is not to sell those tons to third parties. So we want to sell directly to the steel mills that require this type of material. Again, when we look for potential clients, we want to make sure that they have the right ports so that they can take capesize vessels so that we can fully benefit from the closer to home tonnes. If there are some advantages by going with the smaller Panamax, but there's still some freight advantage for us, it's definitely something that we can look at. But when we combine the freight advantage and also the premiums for the DR, once we get out of the trial cargoes, I do think that the market is looking pretty good to be able to get a significant premium on our side. When you look at this year, well, the DR grade seems to be in a better position than it was last year. But again, there's quite a lot of noise with projects like Simandou coming on. So it doesn't impact the DR grade, but it did impact the view on the high-grade material, not necessarily ramping up to the level that was initially expected. So I think that's keeping the high-grade portion quite healthy. But we will see in the next quarters where that DR premium goes. But when we look at the fundamentals, there's quite a lot of plants getting delivered that need this type of material. There are some plants that have tried to also find ways to upgrade material that might not deliver the results that they thought. So that will definitely be some potential clients for us down the road. But when I look at the environment closer to the whole Sept-Îles port, I do think that we'll have the right clients to sell our material at the right premium there.
Operator: Your next question is from Dalton Baretto from Canaccord Genuity.
Dalton Baretto: David, I wanted to start by asking -- well, I've got 2 questions on Rana Gruber. I'll start with the first one. When you look at their client base, particularly in Europe, do you see any synergies there with you trying to place the DRPF material? Does that help you in any way?
David Cataford: Thanks for the question. So definitely some advantages just in the fact that also they're so close to their clients. So when we sell to Europe, we're close, but we're not that close. They're about 3 days sailing time. I think there's some good potential combinations on that front. When I look at potential blending strategies, that's definitely something that's top of our mind as well. So is it possible to have some potentials in that front to be able to get a better premium for material. That is something that we will look at. I think the main focus now is definitely closing the transaction, making sure that the asset is under our control in the next few months. And then I definitely see some potential advantages and synergies with clients in Europe.
Dalton Baretto: That's great. And then similar sort of question, but on the operations side, I was looking at their Capital Markets Day presentation from last year, and it looks like they're about to set off on the same trajectory that you guys just went through in terms of upgrading their material to DRPF. Given what you guys have just been through, do you think that you can accelerate that time line at all?
David Cataford: There's various ways to look at it. If you remember, even at Bloom Lake, initially, we thought, do we want to build 1 or 2 flotation plants and get all of our tonnes to 69%, but we thought maybe it makes more sense to do one and maybe there'll be a blending strategy directly at Bloom Lake. So if we transpose that to Rana Gruber, is it the upgrade that is necessary because now we're only looking at 2 million tonnes? Or is it possible to take, let's say, 1 million of those tonnes, blend it with some 69% material and it becomes DR grade. So there's -- again, there's a lot of potential synergies between the 2 sites. Does it mean that we have to accelerate a DR transition at Rana Gruber? Or does it mean that we can work in a different space. We'll definitely look at what's the most accretive for our shareholders.
Operator: There are no further questions at this time. I would now like to turn the call over to David Cataford for the closing remarks.
David Cataford: Super. Thanks, everyone, for your support. Thanks for being on the call today and not looking at a gold analyst at this time. So yes, gold is definitely in favor, but I do think that the high-grade premium for our material is going to be extremely interesting in the coming years. When I look at our company, I mean, we're just coming out now of a 7-year CapEx cycle, roughly about $2.5 billion invested on time and on budget to create the foundation that we have now. And I do think that in the future, we'll be able to benefit from very good premiums and have a very interesting capital return strategy for our shareholders. So again, thanks, everyone, for your support and looking forward to speaking to you in the next quarter.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.